Executives: Carol A. Cox - Executive Vice President of Strategy and Corporate Communications Alexis V. Lukianov - Chairman and Chief Executive Officer Michael J. Lambert - Former Chief Financial Officer, Principal Accounting Officer and Executive Vice President Quentin Blackford - Executive Vice President of Finance and Investor Relations Michael Lambert - 
Analysts: Matthew O'Brien - William Blair & Company L.L.C., Research Division Matthew S. Miksic - Piper Jaffray Companies, Research Division Richard Newitter - Leerink Swann LLC, Research Division David H. Roman - Goldman Sachs Group Inc., Research Division Christopher T. Pasquale - JP Morgan Chase & Co, Research Division Raj Denhoy - Jefferies LLC, Research Division Daniel Sollof - Barclays Capital, Research Division Jeffrey D. Johnson - Robert W. Baird & Co. Incorporated, Research Division William J. Plovanic - Canaccord Genuity, Research Division Travis Steed Craig W. Bijou - Wells Fargo Securities, LLC, Research Division Joshua T. Jennings - Cowen and Company, LLC, Research Division Michael Matson - Needham & Company, LLC, Research Division Jason Wittes - Brean Capital LLC, Research Division
Operator: Greetings and welcome to the NuVasive Inc. Second Quarter 2014 Earnings Release Conference Call. [Operator Instructions] I would now like to turn the conference over to your host, Carol Cox, Executive Vice President, Strategy and Corporate Communications. Thank you, you may now begin.
Carol A. Cox: Thank you, Shay. Welcome to NuVasive's second quarter earnings call for the quarter ended June 30, 2014. Joining me on today's call are Alex Lukianov, our Chairman and Chief Executive Officer; Keith Valentine, President and Chief Operating Officer; Michael Lambert, Executive Vice President and Chief Financial Officer; and Quentin Blackford, our incoming Chief Financial Officer. During our comments and responses to your questions today, certain items may be discussed which are not based entirely on historical facts. Any such items should be considered forward-looking statements that are based on current expectations and involve risks, uncertainties, assumptions and other factors, which, if they do not materialize or prove correct, could cause NuVasive's results to differ materially from those expressed or implied by such forward-looking statements. These and other risks and uncertainties are more completely described in today's press release and in our most recent 10-Q and 10-K forms filed with the Securities and Exchange Commission. This call will also include a discussion of several financial measures that are not calculated in accordance with Generally Accepted Accounting Principles or GAAP. We generally refer to these as non-GAAP financial measures. These measures include our gross margin, sales, marketing and administrative expenses, research and development expenses, operating margin and non-GAAP earnings per share. We believe this information is useful to investors because it provides important information regarding earnings generation at NuVasive and is helpful for measuring our progress. We use these non-GAAP financial measures, along with the most directly comparable GAAP financial measures, in evaluating our actual and forecasted operating performance, capital resources and cash flow. The most directly comparable GAAP financial measures and information reconciling these non-GAAP financial measures to our financial results prepared in accordance with GAAP are included in the press release and at the supplementary financial information file, both of which are accessible from the Investor Relations section of NuVasive website. With that, I would like to turn the call over to Alex.
Alexis V. Lukianov: Thank you, Carol. Good afternoon, and thank you, everyone, for joining us on today's call. We are extremely pleased to report second quarter results that exceeded our expectations on both the top and bottom line, and demonstrated strong increased operational efficiency within NuVasive. During the quarter, we continue to solidly execute our strategy to take market share; and according to reported results, we can now claim the #3 spot in the global spine market. Having achieved such a remarkable long-standing goal, I am confident that our mission to improve spine surgery with market-leading innovation will support our drive beyond $1 billion in revenue and toward the #2 position in the spine market. Now let's turn to results for the second quarter of 2014. We reported revenue of $191 million, which represents year-over-year growth of 15% and non-GAAP earnings per share of $0.28 or EPS growth of 40%. Revenue growth was driven by stronger than expected performance in the U.S., especially in lumbar and biologics, and a continued strong growth in our international geographies. Revenue growth outperformed our expectations even excluding the benefit of a couple of less sustainable impacts in the quarter, which Michael will cover in his remarks. In addition to better than expected revenue growth, we made solid progress in our efforts to improve operating profitability, resulting in a 200 basis point year-over-year expansion in our operating margin during the quarter. The expansion was driven primarily by ongoing efforts to bring manufacturing in-house, leverage of systems investments we have made over the last few years, and the operational initiatives that have been under way to drive efficiencies in all areas of the organization. As a result of the outperformance in the second quarter and the sustainability of the momentum of our U.S. lumbar products, we are updating and increasing full year guidance for revenue to approximately $745 million, up from $725 million previously; operating margin of approximately 16.5%, up from 16% previously; and non-GAAP EPS to approximately $1.11, up from $1.06 previously. Before I turn the call over to Michael to go through the results and discuss guidance in more detail, I will provide an overview of our longer-term growth goals and how we intend to achieve them. The goals include growing revenue to $1 billion and beyond, expanding our operating margin to at least 20%, and improving shareholder returns with initiatives to leverage earnings. Let's begin with NuVasive's future revenue growth, which we believe will be driven by the continued execution of our share-taking strategy. Today, we have roughly 8% share of the global spine market. We believe that can be grown significantly by executing across 3 opportunities. First, driving the shift in spine toward minimally invasive or MIS and less invasive surgery. Two, penetrating the traditional or open spine market with innovation that is converting that market toward less invasive surgery. And three, expanding our footprint globally and taking share of underpenetrated markets. I'll spend a moment on each of these opportunities to provide a sense of how NUVA is currently positioned. So first, the spine market is shifting increasingly toward less invasive solutions as better patient outcomes and a wealth of clinical and economic evidence are expanding surgeon adoption. We estimate that MIS and less disruptive solutions will represent close to 30% of the global market in 2014, and we believe that within the next decade, less disruptive solutions will become the standard of care, approaching 80% of the global market. That shift will create over $5 billion of opportunity over the next decade. And as an innovative leader in the U.S. MIS market, we intend to continue to be a key beneficiary. NuVasive established a leadership position within MIS by pioneering the lateral approach to spine surgery, but it hasn't stopped there. The manifestation of our core philosophy, innovating to improve surgical outcomes in spine, has resulted in a constantly evolving comprehensive portfolio of highly differentiated less invasive solutions. That is fostering our ability to not just sustain a leadership position within the fast-growing market for less invasive solutions, but as demonstrated by our performance in recent quarters, to actually expand our market share within it. Our drive for continued leadership of the market for less invasive solutions will be a key tenet of revenue growth over the next several years. Secondly, our core patient outcome driven philosophy is equally applicable to traditional techniques. Our ability to penetrate the traditional spine market and increasingly convert it to less invasive solutions will be another key driver of future revenue growth. Our new solutions like Precept for posterior fixation, Armada and Bendini for deformity, ALIF for anterior column realignment, MAS PLIF and MAS TLIF, are blurring the line between traditional and MIS techniques. They leverage NUVA's experience as a pioneer of MIS and as the leading innovator in spine to make traditional techniques less invasive and to improve surgical outcomes. Those solutions are opening new doors for NuVasive. For the first time in our history, we are establishing new surgeon relationships, not just with XLIF, but also with recent product launches like Precept and MAS PLIF, which are suitable for traditional techniques. As we penetrate the traditional space, our ultimate intention is to convert traditional surgeon customers to MIS and less disruptive solutions and eventually toward MIS. Another key driver of our future revenue growth will be international expansion. We have dedicated years to establishing an infrastructure to replicate our U.S. achievements internationally. An international growth of 45% year-to-date is a testament to the rewards those investments have begun to reap. In the EMEA, we implemented a more experienced leadership team early last year. Those efforts are driving better than expected performance in key markets like the U.K. and Italy. In Asia Pacific, our drive for shared leadership in Australia and New Zealand is paying dividends. Also, our momentum in Japan is strong, with surgeon interest and the adoption rates of not just XLIF, but also solutions like Precept and Armada continuing to be exceptional. NUVA's penetration of the $2.2 billion international spine market is still in its infancy. We estimate that we have only 3% share internationally, but our share-taking strategy is geared to drive that much higher, another key component of revenue growth going forward. While revenue growth is a key priority, improving operating profitability is critical as we strive to increasingly translate revenue growth to the bottom line. We are committed to expanding our operating margin from the 15% level reported last year to at least 20% as we approach $1 billion in revenue. Our results this quarter and the corresponding ability to raise full year operating margin guidance demonstrates excellent execution against that goal. We have multiple, well-identified drivers that we anticipate can get us to at least 20% operating margins over the next several years, and the majority of the drivers are not reliant on revenue growth, such as our vertical integration efforts, the majority of our asset efficiency initiatives, and the expiration of certain patent royalty accruals. Going forward, the continued growth of our profitability should be driven primarily by: Increased international scale as we lever years of investments; increased vertical integration, as we work to more than double the 20% of product that we currently manufacture internally; improved asset efficiency with initiatives under way to improve inventory turnover and distribution methods, rationalize real estate, and lever IT investments; improved sales force effectiveness with mobility platforms and refocused sales teams; and finally, the February 2015 expiration of the patent behind the majority of our royalty expense accruals. I am confident in our ability to achieve our stated operating margin goals and I hope to exceed them as we continue to work to identify additional opportunities to drive profit growth. In addition to the strategies we have in place to drive top line growth and operating margin expansion over the next several years, we also have recently implemented new initiatives aimed at increasing earnings per share leverage. Our globalization initiative, for example, is designed to consolidate and standardize the management of our international business activities. Over the next several years, it will drive multiple benefits, including a gradual improvement toward a rate in the low to mid-30s. Additionally, the intended share usage burn rate under the equity incentive plan recently approved by our stockholders is designed to reduce the amount of dilution or new shares issued from the historical annual range of 3% to 5% to about 2% of outstanding shares in future years. In sum, the outlook for future earnings growth at NuVasive is strong. We have a proven strategy to drive revenue growth by expanding our market share beyond the 8% that it is today. In addition to revenue growth, we have numerous levers to improve shareholder value, with both operating margin expansion and earnings leverage over the next several years. Before I turn the call over to Michael, I did want to make a quick comment on the OIG subpoena, which we are actively complying with. We have nothing new to report on that front, but we'll provide further updates if and when they are needed. With that, I will turn the call over to Michael Lambert.
Michael J. Lambert: Thank you, Alex, and good afternoon, everyone. Before we get started with the financials, let me remind you that when we cover gross margin, SM&A expenses, R&D expenses, operating margin and EPS numbers today, we will be speaking to non-GAAP results. Please refer to the supplementary financial information file on our website in the Investor Relations section for all of the detail that will be covered on today's call and to reconcile our non-GAAP items to their GAAP counterparts. As Alex mentioned, revenue for the second quarter 2014 exceeded our expectations coming in at $190.7 million. As a result, we are increasing full year revenue guidance to approximately $745 million or 9% growth year-over-year compared to the $725 million that we previously expected. Let's walk through the composition of revenue growth in the quarter and our revised expectations for the full year 2014, which contemplate the more difficult growth comparisons that we face in the second half. Second quarter U.S. lumbar growth of 10% exceeded our expectations on a continued trend of exceptional demand for our minimally invasive solutions, including Precept and MAS PLIF. This is momentum that we expect will continue through the second half of the year. To flow through the outperformance and slightly improved expectations for the second half, we now expect about 6% U.S. lumbar growth for the full year, up from the 5% that we previously expected. U.S. biologics growth of 18% greatly surpassed our expectations. Procedural pull-through from our U.S. lumbar solutions was strong, and the recent launch of Osteocel Pro is generating solid surgeon interest and trialing. We are encouraged by the positive impact of the trialing, but we need additional time to determine what portion, if any, is a more temporary type of impact. However, as a result of the Q2 outperformance, we now anticipate full year 2014 U.S. biologics growth of about 7%, up from the 2% growth that we previously expected. U.S. cervical performance was below our expectations, decreasing by 1%. Softness was driven by a slower than expected ramp of the PCM device, which I will address in a moment when I cover the intangibles impairment charge taken this quarter. Set availability issues in posterior cervical and a later than anticipated plating product launch also contributed to the underperformance. With the plating product now set for launch late this year and an initiative under way to improve the availability of sets in the field, we are optimistic that we can reinvigorate the growth of the cervical category over time. That said, we now expect cervical to grow about 4% for the full year compared to the 10% growth that we previously expected. U.S. monitoring service growth exceeded our expectations, increasing almost 15% in the quarter. Similar to last year, we experienced an improvement in collections, which drove the majority of growth in the quarter. While we are encouraged by that dynamic, it is related to historical volumes, so we cannot rely on the sustainability of its impact going forward. Thus, our expectations for the second half of 2014 are unchanged and assume that strong volume growth will continue to be offset somewhat by pushback from insurers. As a result of the Q2 outperformance, we now expect U.S. monitoring service growth of 2% for the full year, an improvement from our prior expectations for flat growth. Our international business, which includes Puerto Rico, also exceeded our expectations, growing 56% in the second quarter on strong contributions from the Asia Pacific and Latin American geographies. During Q2, we saw some progress in Latin America after a period of sluggish growth, and this benefited our international growth rate. However, given the continued economic turmoil in a couple of these countries, Q2's progress is not something we necessarily expect to see systematically repeat itself in Q3 or Q4. Still in consideration of the strong organic results elsewhere, we now expect full year 2014 international growth of approximately 30%, up from 20% previously. In sum, we were very pleased with Q2 revenue results. As you model the remainder of 2014, please note that our guidance does not assume continued benefits from the less predictable impacts I mentioned from Q2, both in our IOM monitoring services and in our Latin American market performance. Given our view on these items and considering that Q3 sequential growth has historically been flat compared to Q2, we currently anticipate Q3 revenue will be down sequentially. Turning to the rest of the P&L. Gross margin in the second quarter was 76.6%, up 120 basis points from the 75.4% reported in Q2 2013. The gross margin expansion demonstrates very strong operational gains, driven by our move to insource manufacturing and improved inventory efficiencies. These items more than offset roughly 50 basis points of margin pressure, driven by revenue mix, which measures the impact from the outsized growth of our lower margin biologics and international businesses. Price was not a material factor in the quarter. In spite of the greater than originally anticipated revenue mix headwind that we expect will last through the end of 2014, we continue to expect a full year gross margin of approximately 76%. Non-GAAP sales, marketing and administrative or SM&A expenses totaled $106.8 million in Q2 2014 compared to $94.5 million in Q2 2013. SM&A expense was 56.1% of revenue for Q2 2014, representing nearly 100 basis points of improvement compared to the 57% reported in Q2 2013. We achieved improved sales force productivity, which more than offset both forecasted and opportunistic investment into our international infrastructure, and increased freight costs associated with managing greater than expected surgery demand. We expect the freight pressure to ease some in the second half with the recent arrival of new sets. For the full year, we continue to anticipate SM&A expense in the 54.5% range. Non-GAAP research and development or R&D expenses totaled $8.6 million in Q2 2014 compared to $7.3 million in Q2 2013. R&D expense was 4.5% of revenue for Q2 2014 versus 4.4% in Q2 2013. This represents an increase in dollar spend of about 18% from prior year, driven by investments in talent and new product development projects. Even as we invest, we are committed to increasing our efficiencies in R&D, just as we are doing across the entire company. With increased revenue expectations for the year, we don't expect to increase full year R&D spend on an absolute dollar basis; and as a result, we now anticipate a full year R&D expense of approximately 5% compared to the 5.5% that we previously expected. Second quarter non-GAAP operating margin exceeded our expectations, coming in at 16%, which was up 200 basis points compared to the 14% we saw in Q2 2013. As a result of the Q2 outperformance and the slightly improved outlook for R&D spend as a percent of sales this year, we are raising full year 2014 non-GAAP operating margin guidance to 16.5%, up from the 16% that we previously expected. Implied in my earlier commentary about revenue being down sequentially between Q2 and Q3 is an expectation that non-GAAP operating margin will display a similar cadence. In addition, our updated guidance anticipates non-GAAP operating profit dollar growth of about 20% this year or operating profit growth that is more than twice the expected rate of revenue growth. Interest and other expense net on a GAAP basis totaled $7 million in the quarter compared to $6.9 million in Q2 2013. We continue to anticipate full year 2014 interest and other expense to be approximately $27.5 million, including roughly $14.7 million in noncash interest expense. Second quarter earnings were impacted by a $10.7 million noncash impairment charge related to a lower valuation for the asset we acquired in the May 2009 Cervitech acquisition. This acquisition added a PCM device to our product pipeline. The impairment was driven by an updated view of the landscape for cervical motion preservation devices, a market which has been considerably more difficult to penetrate than we originally anticipated. From a tax perspective, the impairment charge drove our Q2 earnings before tax into a GAAP loss position. Our quarterly tax expense is essentially a true up to bring our year-to-date GAAP tax position into line. Accordingly, even in spite of the $2.3 million pretax loss position, we recognized a Q2 GAAP tax expense of approximately $1.9 million or an effective tax rate in the low 80s. With half of the year complete, we now expect a full year 2014 GAAP effective tax expense of about $6 million, down slightly from approximately $6.5 million previously. We continue to expect non-GAAP adjustments for the full year 2014 to be tax affected at approximately 40%. Second quarter non-GAAP earnings were $13.6 million or $0.28 per share compared to $9.4 million or $0.20 per share in Q2 2013. With increased expectations for both revenue and non-GAAP operating margin, we now anticipate full year non-GAAP EPS of approximately $1.11, up from $1.06 previously. Please refer to the supplementary financial information file on our website in order to put the year-over-year EPS comparison in its proper context and to review all of the items that will be excluded for non-GAAP reporting purposes. For the second quarter, cash flow from operating activities totaled just over $25 million, well ahead of the roughly $8 million we saw in Q2 2013, driven by top line growth and operating margin performance in the quarter. Free cash flow of about $6 million was impacted by about $19 million in capital expenditures in the quarter, most of which was product related. For the full year, we continue to expect free cash flow will be roughly flat with 2013's result, even in spite of our becoming a significant cash taxpayer this year. Our cash and investments balance at the end of the second quarter was just over $350 million, up about $10 million from last year and up $24 million year-to-date. The increase was driven by operating cash flow generation and proceeds from the exercise of stock options. The company's execution engine continues to deliver tangible progress that is increasingly evident in our reported results and in our guidance. We are simultaneously executing a share-taking strategy and driving operational improvements to enable margin gains. As you all know, last quarter, we announced my eventual retirement from NuVasive. It's truly been a privilege to work with the most outstanding team and company in spine, and I have no doubt about the company's ability to achieve its next milestone of $1 billion in revenue, concurrently with at least 20% operating margins. On July 31, I will be officially stepping down as NuVasive's CFO and Quentin will step into this role. He and I will continue to work together on various projects through year end close in order to ensure a smooth transition. My retirement marks the achievement of a long-standing personal objective for my family. I understand how lucky I am to have had the opportunity to play a role here at NUVA these last 5 years. Also, I am fortunate to be able to transition such an outstanding team to an exceptionally strong leader in Quentin. Finally, I'm especially thankful to our family of cheetahs for all of your incredible hard work, dedication, outstanding results, and for the wonderful friendships we have developed here over the years. My alter ego Captain Profit will be handing off the cheetah-print cape and money belt to Quentin, who will be fielding your questions both on today's call and in the future. Now I'll turn the call back over to Alex for closing comments.
Alexis V. Lukianov: In closing, I'd like to speak on behalf of the entire NUVA family in expressing gratitude to Michael for all of his contributions to NuVasive over the last 5 years. During his tenure, Michael has made a palpable difference within our organization, and I wish him and his family the best as he transitions into retirement. I also look forward to working increasingly with Quentin. I have utmost confidence that Quentin, who has also been instrumental in implementing and driving the operating efficiency and earning leverage initiatives we have under way, can take the baton and advance our drive to increase shareholder value. The second quarter was a clear demonstration of our aspirations for NuVasive. Our market share-taking strategy delivered double-digit organic revenue growth, which we achieved in conjunction with operating margin expansion of 200 basis points and earnings per share that exceeded our expectations. While we are proud of our Q2 performance, we are laser focused on executing to the full year 2014 guidance communicated today. And importantly, we have a strategy in place and initiatives under way intended to drive increased shareholder value and earnings growth this year and in the years to come. NUVA is now the #3 player in spine globally. That is a huge accomplishment. And now in true NUVA fashion, we are onward and upward for even bigger things. We will now take your questions.
Operator: [Operator Instructions] Our first question comes from Matthew O'Brien from William Blair.
Matthew O'Brien - William Blair & Company L.L.C., Research Division: And Michael, best of luck to you going forward. I was hoping we can start off with the strength in the U.S. lumbar business. Alex, the results from some of your larger, well, not too many larger competitors, but larger companies this quarter has been pretty weak in their spine businesses, whereas your performance here was quite good. And I'm just hoping you can help us reconcile the performance, be it just the growth in the MIS market versus taking share with new reps or just going deeper with your existing customer base. How did you put up that type of performance in an environment where your competitors are talking about a pretty challenging environment?
Alexis V. Lukianov: Well, Matt, I think it's been very clear that our strategy is working. And that is, obviously, that we're taking share. And the strategy that's really working in the U.S. is being able to convert much more of posterior business in the lumbar space and doing that through a combination of driving MIS more deeply and then, of course, converting open surgeries more into our direction. So as I talked about in my comments, I hope that's really where you're seeing the big growth coming from NuVasive and that's what's driving the U.S. business. And then, of course, biologics pulls through along with that into the lumbar, as well as into the cervical space.
Matthew O'Brien - William Blair & Company L.L.C., Research Division: Okay. And then for the follow-up question, just a commentary about PCM and the inability to penetrate the cervical opportunity. Is that more of a comment about the market not developing as fast as you guys had anticipated? Because that's something you've mentioned in the past. Or is it just a fairly competitive space where you just haven't had the success that you anticipated? And how should we think about that product for you guys going forward?
Alexis V. Lukianov: I think, it's a combination of all of those things, but largely, it's the market. I think, all of us anticipated that the Motion Preservation segment would grow at a very fast clip. That has not happened. As you know, it's pretty well entrenched with a number of competitors. There is still a fair amount of insurance pushback with regard to that. And so we just have not seen the kind of uptake and conversion that we anticipated moving from the fusion business to the Motion Preservation market area. So that's -- it's just a way that it's gone. Hopefully, someday that will take off, but there's a number of things that are really restricting that growth.
Operator: Our next question comes from Matt Miksic from Piper Jaffray.
Matthew S. Miksic - Piper Jaffray Companies, Research Division: So first, I guess, I should say the first question goes to Captain Profit, whoever is donning the money belt at the moment, but it had to do with some of the prepared remarks on international. Could you maybe walk us through how much of the strength there -- understanding there were some delays and then there's some success, how much of that was instruments or stocking or some kind of push to get into some of these additional channels that you've been pursuing? And how much was just from what you can tell sort of end user market volumes that are just difficult to predict going forward?
Alexis V. Lukianov: For the record, Michael will not release his cape, but Quentin is Captain Profit now. So Quentin, please go ahead.
Quentin Blackford: Matt, so this is Quentin here. When you look at international, very pleased with the results that we saw coming out of that space. Now I wouldn't attribute any of it necessarily to large stocking orders, that wasn't the driver at all. But I do think that when you look at the prepared remarks, and Michael spoke to it a bit, we did see an impact coming out of the Latin America markets and a couple of the different geographies there that historically have been a bit challenged from an economic perspective, and we've talked about that in the past, but think of those as markets like Brazil, Argentina, Venezuela, those type of markets. And we did see the benefit play through in the current quarter as a result of some strength in those local markets. So if you're going to quantify it, it was roughly $3 million in total. International growth still would have been sitting in the high 30s, pushing up on 40% for the quarter, if you were to adjust for those items.
Matthew S. Miksic - Piper Jaffray Companies, Research Division: Okay. And then the follow-up, I guess, maybe along the lines of Matt's question on the market and your success there, Alex, you talked about taking more business in the posterior MIS area. And I guess, that could be posterior fixation for XLIF or that could be MIS TLIF. If you could maybe provide some color as to where you are in the cycle of those 2 product launches, maybe which one is out in front and making a bigger impact and not. And then if you have characterized it before, I don't know if you've given us a number, but kind of where you are in terms of capturing the share of the posterior fixation for your NUVA cases, I know that's part of the goal with the new posterior fixation system.
Alexis V. Lukianov: Yes, I don't think we've talked about the numbers with regard to that, Matt. But essentially, what's happening is that, I think, if you look at this quarter and the first half of the year, we've had very strong performance from XLIF. We're extremely pleased with the success we've had in that area, but concurrently, has been all of the pull-through business that we're getting, as well as the door-opening business with products like MIS PLIF, TLIF, Precept and so forth. So the strength is very balanced in posterior fixation, and it includes both ALIF -- it includes ALIF, it includes PLIF, it includes all of our LIFs. And we're just extremely pleased with the way that it's gone for us. And as I already mentioned, that also pulled biologics in a very serious way, as you can see from the performance we had in that area.
Operator: Our next question comes from Richard Newitter from Leerink.
Richard Newitter - Leerink Swann LLC, Research Division: And Michael, good luck in your retirement.
Michael Lambert: Thank you, Rich.
Richard Newitter - Leerink Swann LLC, Research Division: I was just hoping, it sounded like -- correct if I'm wrong, but I think, this is now the second or third quarter where you said that price was negligible. I would take that to mean that pricing was not negative nor positive, or was it just stable in a negative kind of way? Can you just elaborate on that?
Quentin Blackford: Sure, Rich, what we mean by that, it's been relatively consistent in the low negative 1.5%, negative 2% range, which has been consistent for us over the last number of quarters now, spanning well over a couple of years. So we haven't seen any dramatic change in pricing trends with regard to our own specific business and continue to see in the low single digits.
Richard Newitter - Leerink Swann LLC, Research Division: Great. And I know that you guys have mentioned tax as a lever, and it's something where initiatives are likely going to kick in, in a more meaningful way, particularly, in 2015 and beyond. Maybe Quentin, can you just give us a sense -- maybe some targets as to where we can see that tax rate moving from the 85% today? Where could it realistically get to over the next 2 years so to speak?
Quentin Blackford: Sure. I think if you look at our current guidance today that Michael walked through, you actually see that tax rate sitting down in the 45% range, but a lot of that is being driven by these large items that we've had to record in the first half of the year being the litigation liability in Q1 related to NeuroVision and the PCM impairment charge in Q2. If you were to normalize for those items though, you do get back into the 85% tax rate for the year that you're talking about. As we think about where that goes into the future, we've spoken to the fact that we expect that to get down into the low 30s. And most of that is going to be contingent upon our ability to really grow that international business to roughly 20% of our overall revenue contribution. And as we're able to do that, we're going lever tax in a pretty significant way. To help frame it up a bit for 2015, we've talked about the fact that we expect it to fall down into the mid-40s, and it will migrate from there into the low 30s pretty proratably over the course of the next several years as revenue and the international business ramps up.
Operator: Our next question comes from David Roman from Goldman Sachs.
David H. Roman - Goldman Sachs Group Inc., Research Division: I guess, what I'm -- my first question would be just, Alex, on the sort of general trends within MIS surgery. In, obviously, all your analyst presentation and your prepared remarks, you talked about the sort of swap between MIS and conventional, but there's clearly been an acceleration in the past several quarters. I think it took 5 years to get from like a 15% mix to 20%, and it just seems like the rate of penetration to MIS is picking up quite a bit. Can you maybe provide just some perspective on what's driving that acceleration and how we should think about that going forward?
Alexis V. Lukianov: Well, I think the growth rate is still somewhere in the 10% to 15%. It's difficult for us because we just largely have our own data and most folks don't really talk about it very much. But I think, what continues to drive MIS is just that there is many more things you can do with it from an application standpoint. And that's, of course, what we've been evolving as pioneers in the space from scoliosis to what have you. And so I think that more and more surgeons are finding themselves comfortable in moving towards MIS and starting off with at least minimally disruptive approaches. And that's really what's worked so well for us, is moving surgeons kind of down the pike, where they begin using our products on an open basis, eventually start to move more and more into less disruptive applications, maybe not even -- not entirely MIS conversion, but moving closer and closer to that end point. So I just think that there's a lot more open-mindedness on the part of surgeons; and then, of course, from a technological standpoint, that we help to bridge that by making it easier for surgeons to move down that pathway. So I could probably talk about it some more, but I think it probably answered your question.
David H. Roman - Goldman Sachs Group Inc., Research Division: That's helpful. Then maybe just a follow-up on the international side. Clearly, the business is going very well. And maybe you could provide a little bit more perspective on how much of the growth is coming from entering into new countries versus same-store growth in existing geographies. And then maybe further to that, what type of infrastructure you need to make that a very big business and how we should think about that in terms of overall profitability?
Alexis V. Lukianov: So most of the growth that we're seeing is coming from the existing markets where we have subsidiaries. That would be countries like Japan, Australia, New Zealand, the U.K., Italy, Germany and so forth. That's really where the bulk of our focus is, that's where the bulk of our resources have been expended over the last several years. So we're now starting to see the fruit of that investment. The other areas that we're in are largely smaller. They're more distributor based. We set up, as often as we can, exclusive distributor relationships, but those are really not the major areas of focus. So the ones that I mentioned and really a couple of others are the main ones, which would include, let's say, China, that we're especially interested in, but we're mostly interested in and have already invested in countries that have market opportunities of anywhere between $50 million and $100 million in revenue today. That's been our focal point.
Operator: Our next question comes from Chris Pasquale from JPMorgan.
Christopher T. Pasquale - JP Morgan Chase & Co, Research Division: Can you spend a minute on the causes of weakness in the cervical and what drove the set availability issue there which, obviously, didn't have any problems on the lumbar side but seemed to have an impact with cervical?
Alexis V. Lukianov: So the cervical weakness that we saw was really mostly had to do with PCM and the fact that PCM really hasn't moved forward. As I discussed having to do with, in part, the market and the fact that the product has just not taken off for us. There was really less of a contribution to any kind of revenue shortfall with regard to posterior. Those are just some things that are running a little bit behind schedule. So those were launches and set builds that were planned, but they were behind. So we've either caught up or are catching up on those things. And so that's why we backed off our number from being around 10% growth originally for cervical down to about 4%. And that's already baked in with some of the lateness in the launches and the set builds.
Christopher T. Pasquale - JP Morgan Chase & Co, Research Division: Did PCM sales decline year-over-year? I guess I'm just trying to reconcile, it wasn't contributing a huge amount previously and you had been growing very nicely in cervical. So did you see a step down there? Or maybe you can just update kind of what you're assuming now for full year PCM sales versus maybe where you were at the beginning of the year?
Quentin Blackford: Chris, this is Quentin. I wouldn't say that we saw a step down necessarily in PCM, but it's been relatively flat. So we haven't seen incremental growth coming from it, and we kind of continue to view it as running out the rest of the year in line with that same trend.
Christopher T. Pasquale - JP Morgan Chase & Co, Research Division: Okay. And then just one other one, if you could quantify to any extent you can, the contribution from Osteocel Pro and Biologics. I'm just trying to get how much of the strength there we should think about as potentially being trialing-related versus your underlying strength in the pull-through from the lumbar business?
Quentin Blackford: Yes, so clearly, pleased with the results we saw in biologics with nearly an 18% growth rate in the quarter. I guess, it's a bit difficult to try to quantify exactly what is trialing, as we have some of our existing surgeons both using the older product and the newer product to a greater extent than what they had in the past. And then certainly, you do have some new surgeons that are trying that as well, and how much of that sticks into the future quarters is hard to predict. But if you look at the overall growth of 18%, far outpacing the lumbar growth, the way we will kind of look at it at this point is that incremental growth potentially could have been trialing in the quarter and we're just not sure how to quantify that yet from a go forward basis.
Operator: Our next question comes from Raj Denhoy from Jefferies.
Raj Denhoy - Jefferies LLC, Research Division: I wonder if I could ask a bit about -- a bit more about the strategy to move into less invasive as opposed to minimally invasive. And you've made some comments about the number of surgeon customers that opens up to you. Is there anything you can offer in terms of how that's going and then the number of new customers that are coming into being NuVasive customers at this point?
Alexis V. Lukianov: Well, so the strategy is to do both. And it's something that we really embarked upon last year in earnest as we started to introduce products like Precept that could be applied both in an open and in a closed fashion. So we really don't talk about what it's netted for us in terms of added customers and things of that sort, but clearly, it's been a real game changer for us.
Raj Denhoy - Jefferies LLC, Research Division: And I guess, what I'm trying to get at is it seems to have certainly been a big contributor to the acceleration in growth recently. And I'm trying to understand how sustainable that could be in a sense -- if you are targeting this much bigger part of the spine surgery market and you're just now getting into that, it suggests that you could probably run in that space for a long time.
Alexis V. Lukianov: That's certainly how we look at it. And as we talked about it in terms of the $5 billion that's out there, that's really what we're going after. So as you will appreciate, we've really penetrated very deeply into the $2.2 billion, $2.3 billion MIS space. And so now we're going after the $5 billion number. And so I think we do have a lot of runway.
Raj Denhoy - Jefferies LLC, Research Division: And I guess, the follow-up question on that is, as you do get a broader bag of products, not just minimally invasive, but now less invasive, at what point do you get enough that you can move to having more of a consigned inventory in hospitals, and thus also reducing the cost it requires you to service your sets and the like?
Alexis V. Lukianov: Well, we have a great deal of product that's already consigned. So we're approaching 100 products this year. So by the end of this year, we'll probably be north of 100 products. So that's a big part of what we have. And so I think that also because we're very known for service -- very well known for service, we've also been very active on the loaner side. So we move a lot of sets around and we meet the demands of surgeries and pick off cases. So in the more established accounts, you bet, those are consigned sets. In those, where we're still really going after the business and just getting some of the initial cases, that's where you see a lot of the loaner business being more prevalent.
Raj Denhoy - Jefferies LLC, Research Division: So it does ever present a significant opportunity for you, though, I guess, as you get more into that bigger part of the market, it does the move to consignment. I guess, what I'm trying get is how big of a margin opportunity could that represent in the next...
Alexis V. Lukianov: It's significant because it helps us a great deal with trade and helps us with other things. So that's one of the levers that we're absolutely pushing on.
Quentin Blackford: Yes, Raj, when you hear us talk about operating margin expansion opportunities and talk about the asset efficiencies, you're hitting on exactly those kind of things that we're focused on, and we quantify that roughly 150 basis points as we move to 20% operating margin. So you're right down the right path of what we're looking at.
Operator: Our next question comes from Matthew Taylor from Barclays.
Daniel Sollof - Barclays Capital, Research Division: It's actually Dan in for Matt. I just want to first ask, was there a selling day difference in the 2Q?
Quentin Blackford: Yes, there was. One less selling day in Q2.
Daniel Sollof - Barclays Capital, Research Division: Okay, that's helpful. And then I just had a quick follow-up really related to the monitoring business. So historically or, I guess, really most of -- I'm really referring to most of last year, you talked about the softness wasn't so much procedural, it was more reimbursement. As we look year-to-date and going forward, obviously, the results are stronger. Is that really just the volume growth continuing and then the collections, I guess, that you just talked about this quarter? Or have you actually seen any improvement in kind of the reimbursement environment over there?
Quentin Blackford: Yes, not really seen any improvement in the reimbursement environment necessarily. I think it's a bit more stable from a volume growth perspective that's playing through the number. But we do still have some of the collection benefits that are impacting the number, and that's part of the strength you saw in Q2. And as we think about the future, next 2 quarters, we don't anticipate that's going to repeat itself.
Daniel Sollof - Barclays Capital, Research Division: All right, that's helpful. And then, just one last one, if I just could sneak it in. I mean, obviously, a good trend on the biologics business. I just wanted to ask, I know you've deemphasized a track. Is that still something that's a driver, I guess, onto the future? Is that -- or is really the focus now Osteocel Pro and really the pull-through that you're seeing from lumbar?
Alexis V. Lukianov: Osteocel Pro is our primary focus.
Operator: Our next question comes from Jeff Johnson from Robert W. Baird.
Jeffrey D. Johnson - Robert W. Baird & Co. Incorporated, Research Division: Quentin, maybe just a couple of follow-up questions, clarifying questions on the international side. On the Latin American comment you made, is end market demand there, procedural demand actually -- did you see a pickup in the quarter? Or is that just maybe collecting on some of the past cases, some of the receivables that were due there? And then I didn't hear a comment on Japan, maybe any kind of growth rates there, the push towards breakeven on profitability there. How do we think about that update?
Quentin Blackford: Sure. So from a procedural perspective in those markets, primarily Latin America, where we see the economic challenges, the end-user volumes remain solid, and that's never been the issue. The primary issue has been the ability to get paid out of those markets and the ability to recognize revenue. So we did see somewhat of a benefit related to that aspect in Q2. That's the aspect that's hard to predict in Q3 and Q4, and therefore, we're not baking that into our guidance. But over time, we'll continue to build those markets, and you would expect some benefit from that. It's just hard to predict exactly when. With regard to Japan, we can be more excited about what we're seeing in that local market. And I can tell you that it's been beyond expectations. And when Michael talked about making some opportunistic investments in international, that's really what he's speaking to there. Most of the infrastructure is in place to support that business, but to the extent we can continue to train surgeons given the strong surgeon demand, those are the kind of investments we're talking about making to continue to fuel the growth in those local markets and that's what we're seeing play out in the results right now.
Jeffrey D. Johnson - Robert W. Baird & Co. Incorporated, Research Division: Okay. And then, just on the follow-up question, maybe 2 longer-term or bigger picture items. Any update on IGA and still expecting kind of a late 2015 launch there, any change in how KOLs or thinking about the product line, anything like that? And then also, an update maybe on the coverage rep model that, I think, you guys have been trialing, just how that's going and any updates there?
Alexis V. Lukianov: So with regard to -- let's just take one of those, so we don't run out of time. With regard to IGA, we will address that really more fully as we move into next year, which I talked about when we first disclosed that, that was our strategy to move into a different way of correcting the spine. So I can just give you a brief update and say that things are going well. We're working our way through the alpha and beta clinical case experiences and everything is on track. So we have not fully vetted out exactly when we're going to launch things in '15, but we will be launching in '15. And we'll talk about that as we get closer to that date.
Operator: Our next question comes from William Plovanic from Canaccord Genuity.
William J. Plovanic - Canaccord Genuity, Research Division: Just 2 of them. One cervical, obviously, slowed down, beating a dead horse here. But when do you expect that business to turn around? And was it a function of sales focus, just with lumbar doing so well?
Alexis V. Lukianov: It does have something to do with sales focus. I mean, overall, we're certainly pleased with the contribution. So it's around 10% of revenue. So we're pleased with where cervical is, and the overall opportunity is only 20% of the market, right? So we're in a pretty solid position when it comes to cervical. But we have been driving the sales force very hard with -- when it comes to the lumbar opportunity. They performed extremely well, as you can see in the numbers. So that's really mostly what we're talking about. It's not that we don't care about the growth in our cervical side, but I think, if you have to prioritize things, it's really the lumbar business that makes or breaks the overall growth profile for the company.
William J. Plovanic - Canaccord Genuity, Research Division: Okay. A nice segue into my other question, which is the lumbar has been driving everything, and you talked about kind of moving in this less invasive market. But as we look at Precept and the penetration into the existing XLIF cases, where are you on a percentage basis? If it was 10% or 20% a year or 2 ago, kind of where do we stand today with that? And that's all I have.
Quentin Blackford: Yes, I think, we've historically said that we believe on most cases, 75% of the time or so, you're going to back up with posterior fixation. In terms of the pathway that we still have in front of us, I would still say that we have a majority of that pathway left to go, still significant share to gain with respect to that opportunity. And Precept is not just about capturing that opportunity for us. When you look at the differentiation with it, when you look at some of the opportunity we're seeing in the data, we have new surgeons trying that product with the company, which has really differentiated for us from where we've been, historically, usually that's through XLIF. Now we're seeing that come through things like Precept driven, MAS PLIF to a degree. So when you look at the bigger posterior fixation market that pushes up around $1.8 billion, that's the opportunity we look at as having good opportunity to get into. So that's how we quantify the potential with regard to Precept. It's much bigger than just our own cases.
Operator: Our next question comes from Bob Hawkins from Bank of America.
Travis Steed: This is actually Travis Steed, in for Bob. You're obviously taking share, but as you look at your business over the course of the quarter, do you feel like there's an underlying improvement going on in spine surgical volumes?
Alexis V. Lukianov: That's a hard one for us to really get our arms around because we all probably have the same information. And based upon how other companies are performing in the U.S., at least, it's looking like things are relatively flat in this particular quarter. How that plays out on the year, we're not real clear. And I think, that's why we've taken a pretty prudent approach when it comes to providing our guidance.
Travis Steed: All right. It sounds good. And one quick question on the 20% operating margin guidance over the long term. Is that a conservative hurdle, or is there a structural investment that will kind of limit your upside?
Alexis V. Lukianov: It's a conservative hurdle.
Operator: Our next question comes from Larry Biegelsen from Wells Fargo.
Craig W. Bijou - Wells Fargo Securities, LLC, Research Division: It's actually Craig, on for Larry. Just wanted to talk about the broader spine market in general. What kind of growth you're seeing there? What you expect for the second half compared to the first, and then, maybe, even preliminary thoughts moving into 2015?
Quentin Blackford: Yes, I think, we still look at the market as being relatively flat to maybe up 1% or 2%, but not much changing from that dynamic. And certainly, some of the reported figures that we're seeing come out from our competitors, it seemed to indicate it's probably still in that range. With regard to how we think about the future, at this point, still kind of status quo right along the same line that we're seeing today. Certainly, a bit more optimism out there with regard to what the POD potential could bring back into the market if you ever saw it come back or some relief on the reimbursement side of things. But we aren't going to try to predict when that comes back into the market. At this point, we view it as relatively flat.
Craig W. Bijou - Wells Fargo Securities, LLC, Research Division: And then just a follow-up on that. Any changes in payer pushback that you've seen recently?
Quentin Blackford: Yes, I wouldn't say any changes that we're seeing here recently. The reality is it's still there, though, but no changes.
Operator: Our next question comes from Josh Jennings from Cowen and Company.
Joshua T. Jennings - Cowen and Company, LLC, Research Division: Just I wanted to start off on your gross margin guidance for the year and with the uptick in your revenue guidance, maintaining gross margins flat from your previous guidance. Just wanted to check in on whether there's level of conservatism baked in there, and what are some of the puts and takes to keeping it at that 76% level?
Alexis V. Lukianov: Yes, I wouldn't characterize it as conservative at this point. But certainly, it's something we believe we can deliver on. You look at where we're at in Q2, at 76.6%. We did see some benefits of the in-sourcing initiative, which was essentially our acquisition of our manufacturing capability back in May of last year, really starting to play through roughly a quarter earlier than what we had anticipated. But our guidance had already factored in some benefit from that in the back half of the year. Similarly, some of the inventory efficiencies that Michael touched on with regard to other system investments that we made that are driving those are playing out also. But what you're seeing in the back half of the year with the strength in biologics, with the strength in our international businesses, both of which bring a lower gross margin profile with them, it creates a bit of incremental pressure from a mix perspective that we hadn't contemplated in the prior guidance. So in the new guidance, we're trying to contemplate all those different moving pieces, and that's why you don't see an improvement in gross margin for the year.
Joshua T. Jennings - Cowen and Company, LLC, Research Division: Okay. And just one follow-up on your previous outlook for the spine market, you just -- you mentioned the potential for some of PODs share coming back in. Can you talk about -- maybe, Alex, can you talk about any update in terms of your outlook for PODs, any catalyst in the fall or early next year in terms of any Senate Finance hearing or OIG issuance of any formal guidance recognition of PODs? And then, how you're seeing the impact of the OIG Special Fraud Alert impacting so far, maybe, in Q2 and outlook for the back half of the year?
Alexis V. Lukianov: So as you know, DOJ has been pretty aggressive with regard to PODs. And we have seen the formulation of policy by a lot of the networks that have been anti-POD, and that's been going on now for several months. As far as what impact has it had, I would say it's not much different than the remarks I made in the last quarter, which is that we're not seeing the formation of new PODs. We're hearing much less with regard to people trying to move towards PODs. At the same time, I think there's kind of a process under way right now with a number of the PODs that are out there in positions, either kind of changing their relationship and moving away from the POD, and trying to rekindle that better relationship with the hospital or redefining their PODs. So it's in a little bit of a state of flux right now. I think, as Quentin mentioned, we're still hopeful about what that means in terms of the future and perhaps in '15 or into the latter part of '15 we start to see some -- more of those surgeons moving away from some of those models. But as best we can tell, it's still somewhere in the 10% to 15% range. My guess, and this is entirely a guess, is that it's less than 15%, but it's really impossible to quantify.
Quentin Blackford: Another comment, too, on the PODs, I think it's important to note that there's still a number of surgeons that are in PODs doing traditional fusion surgeries with their POD contact or their POD investment. But a lot of their less invasive, their lateral surgery, they're seeking different technology. And so there's a still a relationship there, and that relationship fosters a greater long-term success together as they transition away from the POD.
Operator: Our next question comes from Mike Matson from Needham & Company.
Michael Matson - Needham & Company, LLC, Research Division: I guess, just given the degree of success in the lumbar area, I'm wondering how much of that is coming from Precept versus some of the other products there that you mentioned, the less invasive LIF procedures.
Alexis V. Lukianov: So as I mentioned, XLIF is really having record performance. So we're seeing our base products perform exceptionally well, and it's really across the board. It's interbody, it's all the new offerings. So the whole posterior fixation, let's call it, LIF area, meaning all of it is performing exceptionally well for us.
Quentin Blackford: Yes, and also keep in mind, the aging population and the need for longer level constructs, so it's not just Precept, there is good strength with Armada and the ability to really address a complete deformity correction and doing that not only with interbody opportunities, but also doing it with posterior fusion. So it's deeper than that.
Michael Matson - Needham & Company, LLC, Research Division: Okay. And then, in your biologics business, the strength there driven by Osteocel Pro, was that from volume or price? I mean, is Osteocel Pro priced at a premium to the prior version of the product?
Alexis V. Lukianov: Yes, most of that strength there is being seen through volumes, although, you do get a bit of a price premium on the Osteocel Pro product. What's interesting about it is while you get a nice mix benefit on the top line from a gross margin perspective, they're relatively consistent between Osteocel Pro and Osteocel Plus. So it doesn't necessarily flow all the way through the P&L with that same benefit.
Operator: Our next question comes from Jason Wittes from Brean Capital.
Jason Wittes - Brean Capital LLC, Research Division: So you've gotten a lot of questions about sort of what's going with lumbar. I think we're all impressed by basically the growth rate that you've been posting in the last few quarters, this one in particular. And I guess, many of the questions are kind of trying to figure out, is this just expanding the basket with new surgeons, or is it really pulling from other surgeons. And from the responses you've given, Alex, I get the sense that you've really started to aggressively go after surgeons outside of your core. Is that the right way to think about it and that's sort of what's happening here?
Alexis V. Lukianov: Yes, absolutely, we are taking share. So it's deeper penetration with the existing base and absolutely taking share.
Jason Wittes - Brean Capital LLC, Research Division: And you also mentioned that in terms of what's driving an XLIF, it's kind of the bigger -- sort of the biggest underlying driver whereas the new products were obviously kicking in, but sort of XLIF is still kind of the underlying driver here. Is that the right way to think about it?
Alexis V. Lukianov: Well, XLIF is still the bigger part of the base, right, because we've really just moved into the direction of applying more fixation options over the last couple of 3 years, and so those are the pricing. We've about Precent before being one of our most successful ever launches. It continues to perform at a very high pace. But it's really across the board. It's, as Keith mentioned, in Armada and deformity. So we're very pleased to see the kind of uptake we're getting, both from a trialing standpoint with new surgeons checking out our products not necessarily beginning with XLIF, beginning with various other offerings, but the uptake is across the board.
Jason Wittes - Brean Capital LLC, Research Division: Okay, great. One last question, and I guess, now that you're basically #3 in the market, are you kind of competing as a full service player with everybody at this point, meaning that you're looking to basically supply pretty much everything for the surgeon? Or are you still kind of focused on just being the MIS option for these -- for the surgeons?
Alexis V. Lukianov: Well, I think, that's what really got us here, right, is that we do have the complete offering. I think, it's probably something that not everybody always appreciates and is clear on. But it's absolutely what's gotten us here, and that's what's put us into a very strong position with the networks and with our national account business as well.
Operator: Thank you. At this time, we have no further questions. I would like to turn the call back over to Alex for closing comments.
Alexis V. Lukianov: Great. Well, thanks very much, everybody. Thank you for joining us, and we look forward to chatting with you in another 3 months. And again, all the best wishes to Michael and his family, and again, thanks for the many years of fantastic service. Thank you.
Operator: Thank you. This does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation.